Operator: Greetings and welcome to the FlexShopper First Quarter Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded.
 It is now my pleasure to introduce Carlos Sanchez, Investor Relations. Thank you, you may begin. 
Carlos Sanchez: Thank you, and good morning. Welcome to FlexShopper's first quarter 2024 financial results conference call. With me today are Russ Heiser, our Chief Executive Officer; and John Davis, our Chief Operating Officer.
 We issued earnings release yesterday, which we'll be referencing during today's call. Our earnings release and SEC filings can be found on our Investor Relations section of our website. We will be available for Q&A following today's prepared remarks.
 Before we begin, I would like to remind everyone that this call will contain forward-looking statements regarding future events and financial performance, including statements regarding our market opportunity, the impact of our growth initiatives and future financial performance. These should be considered in conjunction with cautionary statements contained in our earnings release and the company's most recent periodic SEC reports, including our annual report and quarterly report 10-Q for the quarter ending March 31, 2024.
 These statements reflect management's current beliefs, assumptions and expectations and are subject to a number of factors that may cause actual results to differ materially from those statements. Except as required by law, we undertake no obligation to publicly update or revise any of these statements, whether as a result of any new information, future events or otherwise.
 During today's discussion of our financial performance, we will provide certain financial information that contains non-GAAP financial measures under SEC rules. These include measures such as EBITDA, net income and adjusted net income. These non-GAAP financial measures should not be considered replacements and should be read together with our GAAP results. Reconciliation to these GAAP measurements and certain additional information are also included in today's earnings release, which is also available on the Investors section of our website. This call is being recorded, and a webcast will be available for replay on our Investor Relations section of our website.
 I will now turn the call over to our CEO, Russ Heiser. 
Harold Heiser: Thank you, Carlos. And thanks to everyone joining us this morning. We'll discuss our first quarter performance and provide some insights into the first quarter of 2024 and some of the -- and the rest of the year.
 Overall, the first quarter continued the financial progress from prior periods. Comparing the first quarter of 2024 versus the first quarter of the prior year, total revenue increased 10%. Gross profit increased 31%. Premarketing EBITDA was up 25% and core earnings, a representation of recurring earnings outlined in our press release, was up 65%.
 As previewed on our last call, there are 2 new lines on the income statement, retail revenue and cost of retail revenue. These 2 lines represent transactions on our flexshopper.com website that are not settled with FlexShopper leases but are settled with other funding options chosen by the consumer. We expect retail revenue to grow over the coming quarters. First, these additional funding options were only active for a portion of the first quarter. Second, we expect to add other funding options to the site this year that will broaden the offerings to appeal to both prime and nonprime consumers. As mentioned previously, we want to provide monetization options for all of the visitors to our sites and channel the margins back into marketing. 
 As you can see in our financials, marketing spend was up 60% versus the same quarter in 2023 as we continue to ramp marketing spend, we continue to grow total FlexShopper fundings as well as retail revenue. The other initiatives mentioned last quarter continue to progress. We continue to add more SKUs to the site to gain a larger share of our customer spending and launched a microsite focused on electronics with many additional sites in the works in order to have a greater reach than the single flexshopper.com marketplace sites.
 Our nonprime consumer continues to face headwinds from the macroeconomic environment. There has been increased focus on enhancements to our risk-based pricing to balance the cost of the consumer versus optimizing consumer engagement. This has required significant enhancements to fraud algorithms in order to grow a portfolio that produces the correct level of asset returns.
 On the retail front, we plan the retail expansion of around 580 doors by mid-May. I'm pleased to report that expansion was achieved by the end of April. We continue to have a robust pipeline of retailer opportunities, both in brick-and-mortar stores and on other retailers' websites. In addition, we'll be offering our leases in Spanish in the second quarter in some verticals that have expressed an interest based upon their consumer base.
 Finally, we have added one other patent to our portfolio of issued and pending patents focused on providing lease-to-own options on online retailers' websites. I'll now hand the call over to John Davis to dive into the company's first quarter performance. 
John Davis: Thanks, Russ. If you recall from previous conference calls, our long-term plan for our lease business consisted of 3 key items. First, we wanted to improve overall asset quality from the more challenging time periods where a removal of government stimulus and higher consumer price inflation caused deterioration in payment performance. Second, we wanted to continue to roll out our online retail strategy where we realized product margin revenue on products we sell on our flexshopper.com marketplace. Third, we wanted to take these quality originations and grow them. We continue to make good progress on each of these key initiatives.
 On asset quality, the provision for doubtful accounts as a percentage of gross lease billings and fees was 26.9% in Q1 of 2024. This compares to 32.8% in Q1 of 2023, which is approximately a 590-basis point improvement or an 18% reduction year-over-year. This is a $1.75 million benefit in 2024 versus 2023. New originations continue to demonstrate favorable early payments versus the same period last year, which suggests that provision level should continue its year-over-year favorability absent any unforeseen short-term macroeconomic impacts.
 Regarding our online retail strategy, we continue to see benefits of introducing product margin to our business enabled by our flexshopper.com marketplace. Our depreciation and impairment of lease merchandise costs as a percentage of gross lease billings and fees was 41.6% in Q1 of 2024 compared to 44.8% in the same quarter last year. This was approximately $660,000 benefit year-over-year. This is being driven by product margin on goods sold that is recognized over the term of the lease.
 In addition, we launched a partnership with an additional payment solution partner in Q1 that provides funding solutions for customers that FlexShopper cannot serve through our lease offering. This resulted in an additional approximately $800,000 in revenue for the quarter and represents incremental conversions of traffic to our site that would otherwise have been lost. As we advance through the year, we intend to expand the payment options available on our marketplace to continue to increase website conversion and grow sales.
 Lastly, we are looking to grow the business with these improved underlying economics. I mentioned in our last conference call that we had higher year-over-year dollar originations for the first time since 2022. I am pleased to see that revenue grew year-over-year for both leases as well as loans and excludes the impact of additional sales from the additional payment provider that we added, as I mentioned earlier.
 As lease revenue is recognized over the life of the lease, growth in originations will have a lagged effect on revenue, which we are starting to see now. FlexShopper lease origination dollars grew again year-over-year in Q1, which is driven both by expanded marketing activity on our marketplace as well as growth within our partnership point-of-sale channel. We launched a new partnership in Q1 within the tire space, and this rollout is running ahead of our expectations. We have a growing pipeline of new potential partnerships and expect that this is an additional tailwind for originations growth.
 Net revenue for our state-licensed loan business grew 19% versus last year. Additionally, we have seen better-than-expected collections on our bank partner loan portfolio, which resulted in 21% higher net loan revenue from an increased fair value assumption. We stopped originating new loans into this portfolio last year since our bank partner chose to exit the high APR business. However, we are actively pursuing a new bank partner to bring this back to our list of options to better serve our retail partners and customers.
 The combined result of these activities is an 18% year-over-year increase in adjusted EBITDA of $7.6 million for this quarter. Our strategic plan remains in place, which is to continue to grow our lease and loan business with favorable asset performance that we are seeing and expand on the [ on-time ] retail opportunity that is in front of us.
 We will remain vigilant in regards to signs of any potential future economic slowdown, but we continue to see customer interest in shopping within our channels with continued job growth and low unemployment rates as well as stabilizing consumer prices.
 I want to thank our team for the hard work and results and look forward to what we can achieve through 2024. With that, let me turn the call over to our operator for any questions that we may have. 
Operator: [Operator Instructions] Our first questions come from the line of Scott Buck with H.C. Wainwright. 
Scott Buck: Russ, I was hoping you could give us a little color now that we're halfway through the second quarter on whether or not the traditional seasonal pattern that kind of held here in terms of originations going from first quarter to second quarter? 
Harold Heiser: We continue to see similar patterns where we have a significantly much larger fourth quarter that's then tempered by a slower first quarter. We see a good number of early payoffs coming out of the tax refund.
 What we've tried to do, though, by having these additional funding options is try to mitigate some of that seasonality that we've experienced in the past and also by adding additional SKUs to the site by not being so consumer-electronics heavy, get out of that cycle of fourth quarter high originations. But the same cycle still persists. I think we'll continue to see it for a good while now until we've continued to transition away from consumer electronics as being a large portion of the goods on our site. But the still -- the same dynamics remain. 
Scott Buck: Perfect. That's helpful. And I'm curious, when in the quarter did you guys start collecting the retail revenue or revenue from additional payment options? You said it was a partial quarter. So just trying to understand... 
Harold Heiser: Right. Sure, late February is when we kicked it off. 
Scott Buck: Okay. Okay. Perfect. And then last one, I want to ask about marketing OpEx. It seems like you have an opportunity here to really drive some new volumes by ramping that up a bit. What are kind of the thoughts here for the remainder of 2024 in terms of how we should be modeling marketing line in the P&L? 
Harold Heiser: So as we continue to add new financing options to the site, the expectation is -- and thus, monetize more consumers, the expectation is that we'll continue to grow marketing spend. It's really going to be dependent upon when other funders join and how successful they are. But as we've mentioned in the past, we want to stay at that spot where margin both on the FlexShopper goods and on the other funders' goods equals our online marketing spend. So as we continue to -- so should be symbiotic as we continue to grow, hopefully, it will -- we'll continue to grow the margins to offset that enhanced marketing cost.
 Obviously, there are some limits as to how much you can grow marketing without having some inefficiencies. So we'll continue to scale it as it makes sense as we bring on new funders, especially funders that are more in the prime-ish category. We expect that, that will give us more runway to grow marketing but sort of in whole, the expectation is to continue to grow it about 20% per quarter, but we'll continue to monitor it based upon what we actually are seeing occurring on the site and with our consumers. 
Operator: Thank you. We have reached the end of our question-and-answer session. I'll now like to turn the floor back over to Russ Heiser for closing remarks. 
Harold Heiser: Sure. Thanks for joining us today. We look forward to updating you with next quarter results. I wanted to express how much the team has been doing here at FlexShopper and I thank them for all that they've done over this past quarter and continue to do this year. Thanks again. 
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.